Operator: Good day, ladies and gentlemen, and welcome to your Blink Charging Company's Second Quarter 2021 Earnings Call. All lines have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. [Operator Instructions] At this time, it is now my pleasure to turn the floor over to Jennifer Belodeau of IMS Investor Relations. Ma'am, the floor is yours.
Jennifer Belodeau: Thank you. Good afternoon, everyone, and welcome to Blink Charging's second quarter 2021 investor call. On the call today, we have Michael Farkas, Founder and CEO; Brendan Jones, President; and Michael Rama, Chief Financial Officer. I would like to take a minute to read the safe harbor statement. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such as anticipate, expect, intend, may, will, should or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding the intent, belief, or current expectations of Blink and members of its management as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC, and that actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect changed conditions. I would now turn the call over to Michael Farkas, CEO of Blink Charging. Go ahead, Michael.
Michael Farkas: Good afternoon, everyone. Thank you for joining us. This was a very exciting quarter for Blink as we made considerable progress with our owner operator strategy, we expanded internationally. We added some of the best in the industry to our team and continue to position ourselves as a leader and innovator in the EV industry. Second quarter revenue grew 177% compared to the second quarter of 2020 as we continue to aggressively expand our geographic footprint. During the quarter, we made tremendous progress with 3,264 commercial and residential chargers contracted, sold, or deployed and the number of commercial Blink owned charging stations contracted or deployed, grew more than 46% compared to the same period in 2020. Location is the key for our chargers as more individual drivers in the fleets, transitioned to greener transportation, and we prepare the charging infrastructure that will be necessary as utilization increases. We continue to make solid progress during the quarter of securing locations in high density, high volume venues like hotels, multi-family residential, mixed use facilities and healthcare networks. We believe our industry is poised for exponential growth and we are aggressively scaling our business, not just here in the United States, but around the world to ensure that we are in the best position to capitalize on the long-term opportunities associated with the global progression to EVUs. As the world transitions to driving EVUs, Blink can prepare the way by providing our chargers as a key component to what will be a much in-demand infrastructure, the national infrastructure charging stations around the world. With a future in mind, we've enlisted and we'll continue to pursue the best talent available in the EV charging industry to help evaluate our technology and our market presence. During the quarter, we announced the addition of Harjinder Bhade as our new Chief Technology Officer, Mr. Bhade is an industry veteran and an exceptional leader with extensive knowledge of the EV charging space and he was a founder of charge points. As we'd continue to expand globally, we're confident that Harjinder's proven track record of success as a software engineer and senior executive will be instrumental to the growth of Blink Charging. We are also welcome – we're also thrilled to welcome Miko De Haan as the new managing director of our European subsidiary, Blink Holdings B.V. As I'll detail in a minute, we believe Europe represents tremendous growth opportunity, so it makes sense for us to enhance our operating presence there. Finally, we recently strengthened our board with the addition of technology and infrastructure leader, Carmen Perez-Carlton. She brings many years of senior executive experience, including leadership roles and operations, finance, and sales and marketing. And we are confident that she is ideally suited to provide advice and guidance as Blink continues to grow and evolve. As chair of our newly formed Environmental Social and Governance committee, she'll be forging new and important territory for our company. And perhaps the most notable development of the quarter, we advanced our international strategy with the acquisition of European EV charging operator, Blue Corner.
Operator: We've lost connection with Mr. Farkas. One moment while we reconnect. Thank you for your patience, ladies and gentlemen, we should have Mr. Farkas reconnected in just one moment.
Michael Farkas: Hello. Sorry about that, got disconnected. As of August 4, 2021, Blue Corner sold or deployed 8,714 independent chargers comprised of 3,816 Level 2 and 25 DC Fast Charging publicly accessible chargers and 4,873 private residential chargers located across Belgium, Luxembourg, the Netherlands and France. With this acquisition, as I just mentioned, we established Blink Holdings B.V. to raise our profile in Europe and enhance our ability to bid for and win new contracts in the region. In addition to contributions from existing business, which Michael Rama will review in a few minutes, during the quarter Blue Corner signed an exclusive contract with KU Leuven and install up to 500 charging stations across Belgium. So, we're seeing continued momentum and looking forward to building on that. To give some additional context around the Europe – European opportunity, EVs are being adopted at a faster rate than in the US and it follows that they're growing market share should translate into higher utilization of charging stations. Historically, Europe has experienced higher fuel prices, which makes the transition to EVs more attractive by providing a stronger value proposition for drivers. We expect that the transition rate to EVs will continue to grow and contribute demand for more charging stations across the continent. From an international standpoint, we have also recently signed agreements in Israel and Chile to further accelerate our global expansion. We remain intently focused on our owner operator model. This is an important direction for our business. We enter into long-term exclusive contracts with automatic extensions that employ a revenue sharing model in which we receive payment each time a vehicle is charged at one of our Blink own units. We sell the fuel. With this structure we have the potential to generate a valuable reoccurring revenue stream for many years to come as EV utilization increases. Our property owner partners also benefit from this model because we take care of the installation and maintenance of Blink owned units, which is often in a very attractive option for property management companies, who literally have just so many other responsibilities on their plates. Additionally, our contracts are structured to allow us to add charging stations to these contracted locations anytime as necessary as demand increases. And that is throughout the duration of these long-term contracts. It's not about just having a parking space. When we sign a property owner agreement, where we provide the services, it's about the entire address. It's about every single type of vehicle that can fuel using electricity. This is a pivotal time to be a leader in the EV charging industry. The shift to EVs is inevitable and Blink is poised for significant growth as we play a key role providing the infrastructure to support this transition. As we always need so, our President Biden announced a new executive order of setting a target to make half of all new vehicles sold in 2030 zero emission vehicles, half. It's important not to lose sight on the fact that we are in a very early stage of this transition. And Blink will continue to invest in our technology, people and operations to solidify our positioning as a best-in-class provider of the charging infrastructure needed to support the transformational shift to EVUs. Now, I'll turn the call over to Brendan Jones, President of Blink, to discuss some more of our recent developments.
Brendan Jones: Good afternoon. It is a pleasure to speak with everyone today. We continue to see tremendous interest from the marketplace as demonstrated by the new customers and partnerships we attracted during the quarter, As Michael mentioned, EV charging industry is still in its relatively early days with tremendous growth potential as EV adoption begins to pickup measurable momentum. We established a reliable and accessible EV charging infrastructure goes hand in hand with positive leadership trends we are seeing around the development and use of EVs in support of environmental stewardship. And at Blink, we're focused on the long game. We're committed to building operational infrastructure, a class-lead sales force, top-notch leadership and support teams to further our leadership grow -- leadership role and grow our footprint as a provider of state-of-the-art charging. To give you a reference point around how rapidly we're growing on June 30, 2020 Blink had 66 employees. We have now more than doubled almost tripled that to 177 as of June 30th, 2021. As we look to strengthen our bandwidth, you can expect to see our head continue to grow. One of the biggest developments as Michael referenced from the past quarter has the acquisition of Blue Corner is portfolio of more than 8,700 charging ports. This acquisition provides Blink with a solid foothold to more effectively access the European market, an under-penetrated market that has the potential to be a huge growth area for Blink as the transition to EVs continues to progress. To give you some clarity and context around this, the Europe, EV market is growing faster than the United States. Sales of plug-in electric vehicles in Europe Rosa 37% to 1.4 vehicles last year, whereas the U.S. rose 4% to 328,000 according to evvolumes.com. The serves in EV adoption will increase demand for Blink EV charging infrastructure and European regulations are further accelerating widespread adoption to be a regulatory support for zero emissions vehicles. Additionally to our expansion into the European EV charging market domestically we continue to expand our throughput as we deploy and upgrade our charters, our locations all over the country. Some notable developments include Blink was awarded $12.5 million grant for the deployment of 50 plus DC fast chargers at 25 locations across the state of Florida. Additionally, the deployment of 10 IQ 200 level two charging stations at three Atlanticare Integrated Healthcare System's locations in Southern New Jersey, the deployment of 42 charging points at ten Four Brothers Pizza Inn locations across New York, you can get us slice and get a charge. And we also deploy IQ 200 charging stations at the Native American Youth & Family Center in Portland, Oregon. We upgraded 19 first-generation Blink EV recharging stations in Plano, Texas to our IQ 200 fast Level 2 charging stations. We also continued to pursue agreements, partnerships and designations that accelerated our growth strategy. We signed an agreement with General Motors to offer GM EV customers more seamless access to publicly avail Blink charging sites across United States as part of GM's Ultium Charge 360. We entered into a reseller agreement with EV transportation services to distribute the Blink IQ 200 mobile Portable EV charger along with its Firefly ESV. We had some fun in sponsoring the University of Cincinnati Bearcat electric vehicle racing team. Now this was the university's first all elect formula race team and it’s a great idea and a lot of fun for the company. We partnered with traffic and Parking Control Companies Inc. in Wisconsin, which is a traffic safety and parking solution provider and they will now give Blink chargers across their customer base. In the wake of our Blue Corner acquisition as Michael mentioned, they signed an exclusive contract with KU Leuven for Blue Corner to install up 500 charging stations across Belgium; and another item, a long-term agreement to deploy Blink EV charging stations at Fattal Hotel Group locations in Israel for a reference. Fattal is one of Israel's leading hotel companies with luxury hotels in 14 major tourist locations throughout the country. As Michael mentioned, we have made a lot of structural elements to strengthen the company and capitalize on the interests and opportunities we're seeing in the marketplace. These improvements include expanding and improving our sales team, our service operations team and our product development team. We are very well positioned to support the anticipated growth ahead of us. With that said, our industry now like many others is beginning to encounter supply chain challenges related to the global shortage of semi-conductors. While our second quarter growths weren't impacted, we'll keep you posted on any effects we see as we move through the balance of the year. I'll now turn it over to our CFO, Michael Rama to run through some of the specific results for the quarter. Michael?
Michael Rama: Thank you, Brendan, and good afternoon everyone. 2021 continues to be a strong fiscal year for Blink with total revenue growth of 177% to $4.4 million in the second quarter of 2021 compared to the second quarter of 2020. Revenues for the six months ended June 30, 2021 grew 129% to $6.6 million compared to the prior year period. This is noteworthy as revenues for the first six months of 2021 has already surpassed total revenues for the entire full year 2020. This growth has driven by increased product sales, increase in charging service revenues as well as increases in network fees. Product revenues increased 156% in the second quarter of 2021 as compared to the same period in 2020 and product revenues for the six months ended June 30, 2021 increased 140%. These increases were related to a robust demand for our commercial and residential chargers. Charging service revenues increased 572% as compared to the second quarter of 2020, and 89% in the first six months of 2021. The increase was attributed to the increased driving with the reopening of the economy, as well as increased number of owned and operated units on our network. Network fees group 49% is compared to the second quarter of 2020 and 70% in the first six months of 2021. The increase was attributed to – increases in host owned units as well as buildings and invoicing to property partners during the first six months of 2021, compared to the six months ended June 30, 2020. Second quarter of 2021 net loss was $13.5 million or $0.32 per share compared to a net loss of $3 million or $0.11 per share in the second quarter of 2020. For the second quarter of 2021 net loss was primarily – net loss was primary attributable to an increase in compensation expense and G&A expenses. Net loss for the six months ended June 30, 2021 increased to $20.8 million from $6 million in the prior year period. Specifically operating expenses for the second quarter 2021 increased to $13 million from $3.4 million. Operating expenses for the six months ended June 30, 2021 increased at $20.5 million from $6.8 million, this increase was primarily driven by an increase in compensation expense as we invest in our future, as well as the additional personnel in conjunction with acquisitions of BlueLA, U-Go and U-Go made during 2020, which was subsequent to June 30, 2020, and the acquisition of Blue Corner which occurred in May of 2021. A quick note on expenses in the quarter, and first half as Michael mentioned. We are committed to investing in our future by ensuring that we have the people and operational infrastructure to quickly and efficiently and effectively ramp our business as EVs proliferates and demand for charging alternatives escalates.  As of June 30, 2021 since the inception – since its inception excluding Blue Corner, we sold, deploy or acquire through acquisitions, 18,246 charges of which 7,360 were on the Blink network. This consists of 4,517 Level 2 publicly assessable commercial charters, 1,555 Level 2 private commercial chargers, 105 DC fast charging EV publicly accessible chargers, 25 DC fast charging EV private chargers, and 1,158 residential L2 – Level 2 Blink EV chargers. And the remainder were non-network on other networks or international sales or deployments. These chargers and units are net of swap outs or replacements that we have done during the years. In addition, as of August 4, 2021, since the inception of our recently acquired Blue Corner sold or deployed 8,714 independent charge points, which all are on the Blue Corner's network, which comprises of 3,816 Level 2 public accessible commercial independent charge points, 20 light DC fast charging public accessible commercial independent charge points, and 4,873 private L2, private DC and private residential independent charge points. And now a few comments about our cash and liquidity. At June 30, 2021 cash and marketable securities was $195.6 million compared to $22.3 million at December 31, 2020. During the first quarter you you'll recall of 2021 we completed a successful equity rates of $232 million. Now I'll turn it back to Michael Farkas for additional remarks. And after that, we'll open it up to Q&A. Michael?
Michael Farkas: So 2021 has been a busy year. We are energized and prepared to capitalize on the opportunities we're seeing to grow our role as a key contributor to the establishment expansion of worldwide EV charging infrastructure. This is an exciting time for our company and our industry, and we look forward to driving continued growth in progress. With that we'll now open up the call for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] We'll take our first question from Gabe Daoud with Cowen. Please go ahead.
Gabe Daoud: Hi, good afternoon everyone. Thanks for all the prepared remarks. Michael, I was hoping we could just start with the European strategy now with Blue Corner essentially in the fold, could you maybe just give us some more thoughts on, I guess, which countries you're targeting specifically. And then I guess just how you plan on going about the plan and how you plan on executing the European strategy on the back of a Blue Corner?
Michael Farkas: Very simply Blue Corner is a company that was very similar to our business and that's what made them extremely attractive for us. Having the multiple methodologies of deploying, having the hardware on an operating model really will allow us to expand the Blink model even more so in the European markets. There's a – it's an unbelievable fit between our businesses just from your perspective of business models, hardware and networking and really just an approach to how we work together. It's just amazing fit with our businesses and we're looking to expand not only into the territories that they're currently active in, but maybe use them as a stepping stone to get into other areas of the European market. And as Blink the most – most of you may know, we're a consolidation of about 10, 11 companies now. We look at Blue Corner as being an amazing foundation for us to be able to acquire other businesses in the European space as well.
Gabe Daoud: Got it. Thanks. That's helpful, Michael. And then I guess as a follow-up, now again with Blue Corner contribution coming from Europe, which is obviously already a pretty strong market and the U.S. accelerating, how should we think about revenue potential for Blink? I guess moving throughout the rest of this year and into next year, I know obviously there is some supply chain maybe concerns that we have to think about, but could you just help us frame what the revenue potential looks like for next year? Or maybe just give us a sense of like what a port backlog or port inventory near-term number looks like?
Michael Farkas: Exact numbers we're not going to disclose here, but bottom line is, as you could see, there is a tremendous amount of money being spent – and then also now been given by the U.S. Government to deploy infrastructure. It's not an issue on the demand side. There's a lot of demand for charging infrastructure now, really in preparation for all the EVs that are starting to hit the road. You are correct, there are going to be some problems on the supply side because of some of the trip restraints and so on. And we're now looking at the Delta variation of COVID, which are things that we're still monitoring very carefully, but we're not – again, we don't have a crystal ball, we can't plan on exactly what's going to happen with these issues. We're trying to do as best as we can. But the industry without a question is growing. The demand for charging infrastructure is off the charts. We believe we've positioned ourselves properly, but as our order start increasing in size and you could see that's happening, we may have some pressure on the supply side.
Gabe Daoud: Got it, got it. And then just maybe sneak in one more, obviously you're deploying across multiunit dwellings and healthcare networks, and you have a lot of relationships on the site partner side. I am just curious if there is any other relationships you could talk to on the auto OEM side, you mentioned that the GM announcement during the quarter where Blink's network will show up on their app, but curious if there is any ways that you could attract or acquire customers at the point of sale of the actual vehicle.
Michael Farkas: Okay, well, it's important to understand that today you can see Blink Charging stations at Audi dealerships, and you could see them in GM dealerships, and you could see them over at CarMax. And those are all IQ 200 model of hardware. You can't get better validation than that. Our hardware is really – has been developed for where the market is going to be. And if you look at our competitor's hardware and their output, it's really where things were years ago. We've maxed out AC capacity and we're planning on with the introduction of our next generation of DC doing the same. So, yes, it's important to be able to go ahead and have the right hardware, the right offerings to be able to work with some of these OEMs, but right now again the validation that we're showing is go to our mobile application and see all the different locations that we're constantly deploying hardware, look at our numbers. You're talking about north of 3,000 charging stations will lead deployed. You're talking over – on average over a thousand a month. And those numbers are going to start increasing. And again, it's broad-based. It's not only multi-families, it's not only a car dealerships, it's not only mixed use, it's not only healthcare facilities, it's literally across the board. People are really understanding that our hardware is something that really deals with obsolescence. And any sustainability group from many company that has to look and say, okay, we need to spend X amount of dollars today. They're not going to want to spend that money again in a year or two from now when the car is like the Hummers and the Audis that are coming out and the Cadillac's that are coming out do have the capacity to match our charging stations, but by far exceed what our competitor's hardware currently chiefs. So if you're not buying our hardware, you're buying obsolescence. That's the bottom line today. And again, those are the industries the GMs and the Audis and so on, they're seeing this and it's being put into their deal.
Gabe Daoud: Got it. Thanks guys.
Operator: We'll take our next question from Vikram Bagri with Needham and Company. Please go ahead.
Vikram Bagri: Hi, guys. Good evening, everyone. Couple of quick questions for me, first on the EU strategy. Can you talk about how you foresee growth in solutions in Europe and if you would look to make acquisitions in that category to get a stronger foothold? Also while we are on the same topic, can you talk about the uptime in your EU assets given they have been recently acquired and what kind of spending it will require for updating the hardware are going to be acquired assets and improving the uptime if it's lower than your U.S. asset base?
Michael Farkas: Brendan, is it possible for you to grab this one?
Brendan Jones: Yes. I mean, I'll speak to the uptime. So if we're talking about the Blue Corner network itself, we'll continually work to upgrade the system there, but we'll also work, as you might imagine, as you purchase a lot of companies simultaneously, you're going to have a behind the scenes efforts to commonize platforms and standards so that you can mitigate expense. So we're simultaneously looking at that. We'll have global standards for uptime across the board, both internally and publish to our partners. And on a product side, we'll begin to commonize platforms over time across both European and the United States with demographic specific products that fit the custom needs of each country or to region that – business in. As you might imagine, right now, we're deploying and selling chargers into South America, Dominican Republic, into Greece, into Israel, into Belgium, France, and several other countries in the EU. So over time, we'll work to get synergy across those platforms that benefit Blink and bring better value to our customers, whether they're B2B or B2C.
Vikram Bagri: Thank you. And then if I can squeeze in one more could you give us a better handle on the expense front compensation expenses obviously increase and you highlighted how the work hauls has increased a lot and you've seen a larger increase in revenue, so it's understandable. But are we – can you just like give us an indication of what the trajectory of compensation expenses is going to be rest of the year? If second quarter run rate is a run rate that we should assume going forward and what kind of increases we should expect in the rest of the year?
Brendan Jones: Yes, I'll jump on that. And obviously we're – we've had an uptick in compensation, obviously we added Blue Corner, BlueLA and U-Go in the mix compared to previous quarters. We've increased our staff, our employees from 66 to over 170 in a year. So we're investing in the future. We're bringing bodies in now. We're bringing talent in now on a runway for the rest of the year. I have to bring in more quality, talented people to grow the company. It's a good thing. So to say, it's going to stay static, we'll see some uptick in those areas. And then obviously if we do other acquisitions or other expansion, that would – they will added as well to that. So…
Michael Farkas: So, yes, I would only add that when we look at talent, that it's one of the key components to the success of the company, both from a leadership and ingenuity and vision perspective. So we filled a lot of key holes in the company over the last quarter and over the last six months to a year, but as we need more bandwidth, we'll continue to add headcount at the lower levels. They have one or two high level strategic positions that has to be filled, but it's really growing that base of people that move the company on a daily basis that we'll need to focus on over term – over time in hiring those people. And as you may know, if the company is performing well as Blink has over the last year, you begin to attract and more talented people come to you as opposed to you recruiting them, and we've seen that phenomenon take place here at Blink.
Vikram Bagri: Understood. Thank you very much.
Operator: [Operator Instructions] We'll take our next question from Sameer Joshi with H.C. Wainwright. Please go ahead.
Sameer Joshi: Yes. Thanks. Good afternoon, everyone. Just wanted a clarification on the revenues from Blue Corner, have they been included pro forma for the entire quarter or only starting from May 10th when the transaction closed?
Michael Farkas: Yes. They were included from May 10th what the transaction closed. You'll see when we file our 10-Q on a pro forma, what it looks like for – what 2020 would have looked like as well as 20 – partial 2021 with Blue Corner included in our results, but for the actual it's from the acquisition date forward.
Sameer Joshi: So the charging revenues are likely to be, if everything else remains same charging revenues are likely to be slightly higher in the third quarter.
Michael Rama: Yes. That's correct. And obviously – obviously as EV the economies are continuing to open, obviously we're seeing more driving, we're seeing more usage as of our charter. So expectation is, but if there's some constraints that come out because of Delta variance that may limit some people's driving, but also in the summer season, especially in New York that could impact that a little bit as well, right. So you have to factor that into the seasonality that's included in there. So it can't be, sometimes it's not strictly linear. You have to factor in seasonality as well as environmental factors.
Sameer Joshi: Certainly. Understood. Thanks for that. And then during the quarter, I think you upgraded 19 first-generation charging station, so IQ 200, is there a schedule or plan to do this going forward. And how many of these are you targeting to upgrade in the next few quarters?
Brendan Jones: Michael, you want me to take that?
Michael Rama: Yes. yes. Absolutely take that.
Brendan Jones: Yes. So there's a schedule exact numbers, they're constantly floating daily, but we have two challenges there. Our first challenge is making sure we upgrade all the chargers or as many as possible that are under the owner operated model; that effort is going well. And the second one is then to provide discounted offers on chargers to our site hosts that have owner operator through partners on units sold. So on Blink we're moving forward in a very aggressive position, right now giving them – moving forward with site house, and installing them. We have several construction companies working across the United States to do this swap out. So we anticipate with over the next six months, we'll get the majority of our old generation charters swapped out and new generation charges put in place.
Sameer Joshi: Understood. Thanks for that. And then just one at a macro level, I think the 1 trillion package that has been discussed at the federal level has 10 billion to 15 billion, if not more for charging infrastructure. Does Blink have a team or a point person or contact in DC that will position you to take advantage of this? Any high-level comments will be appreciated. Thanks.
Michael Rama: Sameer, we've been – as you can see we've been very successful in receiving grants, rebates and being involved in these programs. As evidenced by the program we just received in the State of Florida, about $12.5 million to deploy DC fast charges throughout the travel corridors. We have been focusing a lot of our resources and some of the money that we have spent is bolstering our grant and rebate department, that's net money for us. And as you can see what the Biden administration is doing here, as well as others globally, there's a lot of clean money available and we have a lot of experience in going out and getting that money and we're going to continuously do so. So yes, it's important to us. We're focusing our resources on it, and we spend – we plan on growing that division that group even more so. Inwards to relationships, throughout the country and throughout municipalities what separates us from a lot of our competitors and the fact that we own and operate. And we actually have relationships with these municipalities and we own and operate, or we're operating charging stations that they have in their locations already and these are legacy contracts, some of them, five, six, seven, 10 years old. So I guess we're able to then work with these organizations, work with the quasi government agencies that are dispensing some of these new niche funds and working municipalities to be able to go ahead and deploy these hardware in there's locations. So we feel very confident and that we are going to be a tremendous beneficiary of all of these different pools of capital and whether it's build and making in the U.S. or whether it's just EV charging infrastructure subsidies. We have the experience in going out there and getting their capital. And we plan on really focusing a lot of efforts on do so.
Brendan Jones: The only thing I’ll add to Mike's comments is that in DC we have a dedicated lab and government affairs team, that covers not only DC, our California, and we cover all the top EV states as well to government affairs and lobbying. So we have our presence, very strong presence out.
Sameer Joshi: No, that's going to be essential going forward. Thanks, and congrats on the progress.
Operator: We'll take our next question from Noel Parks with Tuohy Brothers. Please go ahead.
Unidentified Analyst: Good afternoon. This is Judson filling in Noel. It's been a busy couple of months on the March forward towards on the shift to EV. We've had updated goals from our U.S. automakers. We've got the infrastructure bill. How, if at all has this impacted your view of EV adoption and our sales?
Michael Rama: We couldn't be happier about what's going on in the EV charging station, especially in – from what the – what the products of the OEMs are now trying to release, there's more cars available now than ever before. And there's more product being released. I mean, if you look at what's going on from Volkswagen and all of their subs, Audi, Porsche, globally Skoda, Ciet and so on. It's amazing what we're showing to see, and again GM, every major manufacturer has basically disclosed that they're going towards EV, that is the future of transportation. So we're very excited about what's going on in auto motor seeing. Brendan, want to add anything?
Brendan Jones: Just certainly more for you, Michael.
Michael Rama: Okay.
Brendan Jones: I'm sorry, go ahead, Mike.
Michael Rama: No, that was Brendan.
Brendan Jones: I said the only thing, I mean, aside from the goosebumps and is it actually happening now after waiting all these years? I think it goes back to what Mike is saying. We're excited, but simultaneously we're taking it very seriously where we really spent a lot of efforts structurally adjusting this company with new personnel, with top talent to be ready for this moment in time. And we're more ready now than we've ever been before and we still have more work to do to make sure that we are best-in-class.
Unidentified Analyst: My second question maybe ties into that a little bit. You you've talked a lot about the expansion of, of your sales and marketing effort and the priority that is. Can you talk about sort of the highest priority goal for the new store sales staff to address at this point?
Brendan Jones: Michael, you want me to do that or do you want to handle it?
Michael Farkas: Yes, please. I'm on an airplane and there's a lot of [indiscernible], so it's probably best what you do.
Brendan Jones: Okay. So, goal number one for the sales team is to find, locate and then sell to high utilization sites across United States. Those are the type of sites where we placed chargers. We pay for the charger, the installation, and we know before we do it, that we have a long-term income stream. So that's their number one goal. There are secondary goals is to generate revenue through other products and services that we have. They do. Number one, it makes number two much easier. I mean, we operate over this flexible model. We sell charters. Then we install them to the owner operated model. Then we have a flexible hybrid model that lets us do a lot of both. And their goal is to make sure that when they meet a site host, that site host is going to pick one of the three of those options. And that flexibility really sets us apart from the industry, because we were the only EV infrastructure company that offers that level of flexibility to every site host in the United States. But number one, priority the owner operated model, an excellent site hosts that guarantee utilization and income for the long-term.
Unidentified Analyst: Very helpful. Thank you.
Operator: That concludes our question-and-answer session. We'll turn it back to Mr. Farkas for closing remarks. Sir, the floor is yours.
Michael Farkas: Thank you everyone for joining us. We appreciate your participation. And we're extremely excited about our years ahead of us, especially in the immediate future and the – both near and long-term. It's very exciting times in our industry, and we see a lot of tremendous growth in opportunities globally, everybody. Thanks.
Operator: This does conclude today's teleconference. We thank you again for your participation. You may disconnect your lines at this time and have a great day.